Operator: Good day, everyone, and welcome to the Destination XL Second Quarter 2013 Earnings Call. Today's call is being recorded. At this time, I'd like to turn the conference over to Mr. Jeff Unger, Vice President, Investor Relations. Please go ahead, sir.
Jeffrey Unger: Thank you, Jamie. Good morning, everyone, and thank you for joining us today for Destination XL Group's Second Quarter Conference Call. On today's call is David Levin, our President, Chief Executive Officer; and Dennis Hernreich, Executive Vice President, Chief Operating Officer and Chief Financial Officer. During today's call, we will discuss some non-GAAP metrics to provide investors with useful information about our financial performance. Please refer to our earnings release, which was filed this morning and is available on our website at investor.destinationxl.com for an explanation and reconciliation of such measures. Today's discussion also contains certain forward-looking statements concerning the company's operations, performance and financial condition, including sales, expenses, gross margins, capital expenditures, earnings per share, store openings and closings and other matters. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those assumptions mentioned today due to a variety of factors that affect the company. Information regarding risks and uncertainties are detailed in the company's filings with the Securities and Exchange Commission. Now I'd like to turn the call over to David Levin. Thank you, David.
David A. Levin: Thank you, Jeff, and good morning, everyone. The second quarter was very important from a strategic perspective for our company, as we implemented our first national marketing campaign for Destination XL. The campaign was a success from many perspectives. We launched the 6-week campaign on May 5 to define the DXL brand more clearly, expand market awareness and grow our active customer base. The comprehensive marketing campaign included TV advertising, as well as a radio and digital marketing mix. Our TV ad, which emphasizes the problems big & tall men having in finding a broad selection of styles and that Destination XL offers them a convenient 1-stop solution, aired on cable networks. These included ESPN, USA, PBS and Comedy Central, just to name a few. Let me share with you some data points and a few key areas to give you a sense of just how successful the campaign was. First, let's look at comp sales. Our overall DXL store comp sales jumped to 28.8% in Q2 of 2013 from 17% a year ago. Looking specifically at DXL stores that have been opened for more than a year, our comp was an impressive 16.5%. Given that for the past several quarters, our comp in that category had been relatively flat, our 16.5% comp demonstrates the effect that the marketing campaign had on our retail stores. We said many times on prior calls that we are pleased with the performance of our DXL stores given the lack of marketing. Now that we have a sufficient number of stores to rationalize a national marketing campaign, we're starting to see how these stores can really perform. I'd like to note that our TV ad had no promotional call to action to prompt any short-term purchase behavior. We achieved our strong comps on pure brand-building. In fact, market awareness of DXL jumped from 13% to 18% year-over-year. Now while this is an impressive increase, the fact that we only have 18% brand recognition demonstrates the opportunity that we still have before us. On our last call, we mentioned that while our new marketing campaign would put DXL on customer's radar, we do not expect them to rush out to our stores right away. Our customers typically only shop about 2 times each year, so we didn't expect an immediate reaction. The campaign ran for 4 weeks in May and 2 weeks in June. However, our store comps in July were even stronger than what they were during the campaign. This tells us that our supposition was correct. Not all our customers came right into shop after seeing the ad, but we did create sustained awareness so that they came into our store and purchased at a later date. Compared to last year, traffic into the average DXL store was up 6.4% in the quarter, and new customers were up 26.1%. We're seeing our new customers spend more than our legacy customers because an increasing number of them fit into the end of the rack category, a younger, smaller-waisted, more brand-conscious customer. The percentage of sales the customers with under a 46-inch waist increased to 40.5% of sales in the second quarter compared to 36.3% of sales for the full 2000 year -- 2012 year. Another important metric is our average transaction at DXL stores, which is up 23% over the second quarter a year ago and up 37% compared with Casual Male stores this year. 2 positive effects are behind this growth. First, units per transactions are up much to the -- are up due to the much wider product selection available at DXL stores and the superior customer service professionals on hand we have to satisfy our customers; and, second, one of our strongest selling categories has been in dress clothing, comprised of suits, sport coats, dress shirts and ties, which has a -- have a higher average ticket than our sportswear assortment. Our branded assortments continued to resonate with attracting new customers and also offering our existing customers an alternative to our private-label product. As I mentioned in the last quarter's call, we have a number of exciting brand launches for the fall season. You may have noticed that Brooks Brothers is already being sold through our destinationxl.com site, and this brand will be at our DXL store locations for the fall. We also have an exclusive launch with True Religion to offer their brand in big & tall sizes. And for the first time, we'll be carrying Peter Millar, Bills Khakis and adidas Golf as well. The direct business fell short of our expectations during the second quarter due to softer catalog sales and a lower-than-expected effect than the marketing campaign on web sales. While traffic was up on the web by 80%, most of that appears to have been due to a curiosity factor, as the vast majority of those visits were not converted. So we believe that while people were curious about DXL and visited the site, they didn't buy online. But through our web analysis, we found that 20% of that web traffic will search -- did search the store locator page. For more than 5 years, the majority of our marketing spend has been catalog mailings to our current customers. This form of marketing has a high cost and a diminishing and low return on investment. We had not prospected for new customers by any means over this time period. The early success of the brand awareness program indicates we should be spending a majority of our marketing dollars on that program and attracting new customers. Therefore, going forward, we are eliminating our 120-plus page catalogs, and we'll be replacing them with a smaller, 16-page brand mailers that will announce new seasonal offerings. We've discussed before our goal with the direct business is to improve profitability, and eliminating catalogs altogether at this point is another positive step in that direction. Considering circulation for Q2 was down 81% and impressions were down 85%, direct sales were only down 9.8%. And we improved direct operating margins by 130 basis points over Q2 2012. So this is purely a top line issue with the direct business. Going forward, we're going to be putting the money we're saving on the catalogs to work where it could be most effective, and that's in promoting our DXL concept and increasing brand awareness. More specifically, we'll be expanding the scope of the second flight of our national marketing campaign scheduled for this fall. Beginning the last week in September through the middle of November, our "No Man's Land" ad campaign will be back on the air nationwide. This time, we'll be broadening our ad buy to include network television to supplement our nationwide presence on cable. While the campaign will also have an additional week than it did in the spring, for a total of 7 weeks, the campaign will cost us approximately $2 million more than our original budget. But again, this is essentially a reallocation from what we would have spent on catalogs. With the marketing campaign, we know we are picking up a significant number of new customers in direct contrast to our recent experience with catalogs. We've long said that Destination XL is the right concept to drive profitable growth at our company for the long term. During the past few years, as we've rolled out an increasing number of DXL stores, we've been pleased with the response from our customers. But the lack of marketing had held back the growth we knew we could achieve. Now our marketing campaign is proving out our expectations for Destination XL. We still have a long road ahead of us until we're complete -- we've completed the full transition to DXL, though we certainly made excellent progress during the quarter. So with that, I'll turn the call over to Dennis.
Dennis R. Hernreich: Thank you, David, and good morning, everyone. In my prepared remarks, I will first provide a synopsis highlighting the company's results for the second quarter then give you an update on the company's progress and what's still to come with respect to the transformation to the DXL concept and, lastly, provide some context around our updated guidance for 2013. In the quarter, our sales were $97.6 million compared to $100.5 million for the prior-year second quarter. Comp sales increase was 3.8% overall, of which 6.9% from the retail stores and a decrease of 9.8% in the direct business. We expect to end 2013 with a store count of about 366 stores after opening another about 39 DXL stores and closing another about 60 Casual Male and Rochester stores by the end of the year, which means we will have about 46 fewer stores than we had at the start of the year. Let me digress for a second and define what we mean by comparable sales. Total comparable sales for all periods include retail stores that had been opened for at least 1 full year. Stores that have been remodeled, expanded or relocated during the period are also included in determining comparable sales. Most DXL stores are considered relocations and are comparable to all closed stores in each respective market area. Therefore, those DXL stores are considered a comparable store upon opening. If the DXL stores are opened in a new market, however, of which we have 1 DXL store like that today, such DXL store is considered a comparable store until its 1-year anniversary -- is not considered a comparable store until its 1-year anniversary. Direct businesses are included in the calculation of comparable sales since we are a multi-channel retailer. With that said, sales from our retail business overall was up 6.9% for the quarter compared to 0.8% in the first quarter. The 65 comparable DXL stores, which represented 26% of the retail business experienced a 28.8% increase over the prior year compared to 17.7% in the first quarter, with DXL stores opened for more than a year performing with a 16.5% comp compared to 4.7% in the first quarter. The comparable sales for all other retail stores increased by 0.8% compared to a negative 3.2% in the first quarter. Retail comps from the second quarter increased significantly from the first quarter as a direct result of the national marketing campaign. The DXL stores' penetration of the retail business is expected to grow to 40% in the second half of 2013. Sales from our direct business for the second quarter decreased 9.8% over the last year. Our direct business consists of 3 primary channels: catalogs; orders placed from stores to fulfill immediate customer need, if not available in our store; and, of course, our website, destinationxl.com. Sales from our catalogs were down almost 52% during the second quarter, while sales from our website were also down 2.7%. We have been transitioning our customers away from our print catalogs to making purchases in our more profitable e-commerce website. Catalog impressions were reduced in the quarter by 84% from a year ago. As David mentioned, we have made the decision to eliminate the catalogs altogether in favor of much smaller occasional brand mailers. This will be much more profitable for us in the long run. As a result of the transition away from catalogs, the operating margin of the direct business has improved significantly from prior years and reached 26.2% in the second quarter from 24.9% last year with the direct operating margins expected to reach 30% for 2013, up 400 basis points from a year ago. However, we also expect that the top line sales in the second half of the year in direct to continue to suffer resulting in our decision to lower sales guidance for 2013. We are forecasting the direct business will return to sales growth commensurate with the retail channel in 2014, as the direct business cycles through the elimination of the direct mail catalogs. Also impacting the company's overall sales during the second quarter were 2 things. One was $4.8 million loss in sales associated with Casual Male store closings, where either the DXL store had not yet been opened or no DXL store is planned to be opened in certain of these more remote areas. In addition, as you know, there was a shift in the 2013 retail calendar resulting from the 53-week period of 2012. The $1.3 million negative sales impacting the second quarter occurred due to losing 1 week of spring sales, a higher sales volume period, and gaining 1 week in summer sales, which is a lesser sales volume period. Together, the overall sales impact in the second quarter amounted to $6.1 million or 6.1% from these factors. Gross margin for the second quarter, inclusive of occupancy cost, was 46.6% compared with the gross margin of 46.4% for the second quarter of last year. The increase of 20 basis points was the result of an improvement in merchandise margins of 150 basis points, partially offset by an increase of occupancy costs of 130 basis points. On a dollar basis, occupancy costs in the quarter increased 5.5% of the prior year due to the timing of DXL store openings and the associated pre-opening costs, as well as the timing of our Casual Male XL store closings. The improvement in merchandise margins of 150 basis points was the result of continued improvement in our initial markups, as well as favorable markdown rate from a reduction in pricing promotions compared with the prior year. In 2013, we are expecting our occupancy costs on a dollar basis to increase about $4 million as a result of the new DXL stores opening this year and certain lease termination costs associated with closing Casual Male and Rochester Clothing stores. The occupancy cost in the quarter included $1.3 million in pre-opening and lease exit costs associated with DXL stores opening. As a result, we expect the occupancy costs will be between 100 and 120 basis points higher in this year compared to the prior year. From a merchandise margin perspective, we are planning a continuing improvement of about 110 basis points for the year. We are expecting gross margin therefore to be constant to 2012 levels at 46.5%, with the range of a plus or minus 10 basis points. As a percentage of sales, SG&A expenses increased to 44.4% compared with 37.4% for the second quarter of last year. On a dollar basis, SG&A expenses increased $5.7 million or 15.1%. During the quarter, the company incurred approximately $5.4 million in incremental costs, including marketing costs related to the national marketing campaign and other support for the DXL transformation effort and cost related to DXL pre-opening, payroll, store training and infrastructure costs. Net loss for the quarter was $1.6 million or $0.03 a share, which compares with net income of a $1.2 million or $0.03 per diluted share last year. More comparable to last year is the company's net loss from continuing operations of $0.03 per share compared to last year's $0.06 per share in income, which excluded the discontinued European direct business. The decrease in earnings can be directly connected to not only the $5.4 million of DXL transition and marketing costs and SG&A, but also another $1.3 million of pre-opening occupancy and lease exit costs is included within the occupancy component of gross margin. In total, the $7.2 million of DXL transition and marketing cost represents $0.09 per share. The company used $21.1 million for capital expenditures for the first 6 months of the year, partially offset -- partially funded by operating cash flow of $5.4 million from a liquidity perspective for the first 6 months of this year. We have $5.1 million in cash and cash equivalents to outstanding borrowings of $12.3 million and a $78.1 million of credit available under the company's revolver facility. During the quarter, the company's bank group updated its credit facility, increased the size of the revolver from $75 million to $100 million at slightly more favorable rates. In addition, the company expects to further bolster its balance sheet liquidity with a 4-year $20 million lease line to finance certain DXL store and other equipment, again, at very favorable rates. The company's inventory levels at the end of the quarter were up 4.1% compared to a year ago. And unit inventory levels were up a slight 1.5%, higher than the year-ago levels. Now I'd like to provide an update on the conversion plan for our Destination XL concept. We now have 65 DXL stores in operation with at least 1 DXL store located in most major metropolitan cities across the U.S. DXL's store square footage has more than doubled since last year to over 600,000 square feet. Regarding our plans to open DXL stores this year, due to changes in projected opening dates of these stores, we now expect to open between 55 to 58 DXL stores with the timing of the DXL new store opening shifting throughout the year, causing a drop in the company sales guidance for 2013. We continue to identify excellent locations for our DXL stores. We are just not able to control the timing of the openings until after we sign the lease with the landlord. Several DXL store openings that were anticipated in 2013 will instead open in the first half of 2014. Therefore, the company is now expecting to open about 30 DXL stores in the first half of 2014 compared to the 17 we opened in the first half of this year. What's important is that when the DXL stores do open, taken as a whole, are performing as we expect. Our original plan was to close between 110 to 119 Casual Male and Rochester stores. And now, we expect to close between 100 to 105. During Q2, we opened 11 DXL stores and closed 23 Casual Male stores. By the end of the year, we expect the overall square footage to get over 1.9 million, which is an approximate 4% increase from the end of last year, of which almost half of that will be for DXL stores. And now, turning to our guidance for the full year. As a result of the projected store opening dates for some of our new DXL stores and due to the underperformance of our direct business, we are lowering our revenue guidance to a range of $395 million to $400 million, which is based on a comparable sales increase of between 6% and 7% for the entire year. This revised sales forecast for 2013 assumes overall second half sales to be between flat to plus 3% with an overall comparable sales increase of over 10%, driven by the new DXL store openings, as well as continued store comps -- DXL store comp sales from existing DXL stores, all in conjunction with the 7-week national marketing campaign commencing in the early fall. We expect gross margin to be constant to 2012 levels at 46.5%. SG&A costs are expected to be slightly lower than our initial guidance range as a result of lower variable costs related to fewer store openings and lesser sales. We now expect SG&A to be in the range of $167 million and $169 million, for an increase of $11 million to $13 million from 2012, which is all related to increased marketing expenses, as well as DXL transition costs. As a percentage of sales, the SG&A expenses are expected to increase over last year as a result of our DXL initiative by 310 basis points to 42.2% of sales. This is a significant building year for us, as such -- and as such, our SG&A expenses are expected to be noticeably higher than they have been in the past. This increase in dollars is primarily related to higher store payroll to support our planned new store openings, incremental marketing costs associated with our effort to increase brand awareness, plus to close Casual Male and Rochester Clothing stores and other infrastructure-related costs. Overall, we expect to limit our SG&A growth rates, except where necessary, to support our growth activities, where there are unanticipated costs that are necessary to support our overall activities. EBITDA is expected to be in the range of $17 million to $18 million, and operating margins are expected to approximate a 0.5 point loss. Earnings per diluted share are expected to be in the range of a loss of between $0.03 and $0.05. Our capital expenditures for 2013 are expected to be at a $45 million level after considering the expected construction allowances contributed by our landlords on our new store sites. These expenditures will be spent largely in our planned opening of DXL stores, as well as technology projects to improve the e-commerce site and the in-store customer experience. The 2013 net capital spend of $45 million will be funded from cash, EBITDA generated during the year and reductions in working capital. Despite the lower-than-expected profitability, we're pleased to maintain our expectation for revolver borrowings at between $10 million to $15 million by year's end. As David mentioned, this is a milestone quarter for Destination XL in what is a very important year in our strategy to transform the company. The implementation of the first wave of the marketing campaign was an important milestone that, for the first time, demonstrated the real potential for the DXL concept. While the direct business did not perform as we expected, we are taking action to enhance sales and profitability in that business. We look forward to reporting continued progress to you in the quarters to come. This concludes my remarks. And now, we'll take your questions.
Operator: [Operator Instructions] And we'll go first to Christina Brathwaite with Sidoti.
Christina Brathwaite - Sidoti & Company, LLC: So I was just wondering, first, on store openings, I know that you guys accelerated store openings towards the end of the second quarter. How do you think it will happen in the second half? Is it going to be even, or do you think it's going to be towards the fourth quarter?
Dennis R. Hernreich: There's going to be a nice number in the third quarter, but the number is going to be bigger in the fourth quarter.
Christina Brathwaite - Sidoti & Company, LLC: Okay. And then -- sorry?
Dennis R. Hernreich: Yes. I was going to say you'll see something like 10 to 15 stores in Q3 and the balance, some 20, 25 in the back -- in the fourth quarter.
Christina Brathwaite - Sidoti & Company, LLC: Okay. Are you still -- in August, are you still seeing higher traffic than usual? At DXL, there hasn't weaned off since July -- since the July bump?
David A. Levin: I think the best way to say this is our sales trends have continued to be the same. We really don't want to talk about Q3 yet, but the DXL stores continued to perform on their current trend.
Christina Brathwaite - Sidoti & Company, LLC: Okay. Great. And I know, David, you mentioned that you guys are going to take some actions to change the Internet sales performance. What kind of actions are you guys talking about?
David A. Levin: Well, we're -- again, we're not ready to discuss that. That's in the process of being laid out right now. It's changed from what our current strategy was originally planned. But I think the main focus for us is to convert existing Casual Male customers who have not yet shopped in a DXL store. There's still a high percentage of our core Casual Male customers who have yet to been in a DXL store, so that is going to be a huge focus for us -- is finding the right message/promotion. I mean, whatever it's going to take, we're working on it. We have several tests going on right now that are giving us optimism that we're going to be able to raise that conversion rate.
Operator: And we'll take our next question from Jack Bowles [ph] with Focus Research.
Unknown Analyst: Regarding your promotions in sales and marketing going into the second half of the year, you also mentioned that you had a reduction in pricing promotions. How important is that in terms of generating sales? And do you expect that to continue in the second half?
David A. Levin: Yes. Well, as I mentioned, I think this is a very important point. We're not out there banging away discounted messages to get customers in the store. That's very short term with no long-term commitment from our customers. We have done extensive testing and researching that promotions are a short-term fix for our top line. But over the course of 4 to 6 months, those customers are coming in regardless. And when we analyze the return on investment of those customers, coupons are not going to be the answer. We certainly need coupons to move certain types of customers into our store, but we have the advantage right now of really building the brand awareness because once these customers are in the store, they're spending more than they ever had. And again, for our -- I think one of the best metrics that we've delivered is the increase in the average ticket from the DXL stores from a year ago. A year ago, we were putting out a lot of coupons out there trying to get these customers in the store, and we're finding it's much more effective just to build the brand awareness. They like what they see. And once they come in, we can raise that average ticket and you can see our merchandise margins, even for the back half of the year, are going to increase over 100 basis points from last year.
Dennis R. Hernreich: Just to add to that, even after considering the reduction in pricing promotions, we're expecting an overall comp increase in the second half of 10%.
Unknown Analyst: Okay. Will the new promotions through November be any different than what you have just completed?
David A. Levin: We're running the same campaign again. We do have the advantage of -- having 7 of our stores, who are in the test markets, instead of having 6 weeks of the ad campaign with the TV, actually had 12 because they were in the test markets. And we saw that the ones that got the second boost of the same marketing message, their comps were slightly better than the rest of the chain. So we have a high degree of confidence that the second wave of this commercial, on a national level, is going to be as strong as it was in the first half.
Unknown Analyst: And just to clarify, did you say that going 12 weeks does not make any difference versus going 6 weeks?
David A. Levin: No. What I'm saying is that the comps that the test markets had, when they -- when we ran the second flight, their comps were consistent with the first group. So there was no -- they got a second boost of comp sales increase, which is very encouraging for us. So running it again should have the same type of power of market awareness and traffic into our stores as the spring campaign.
Unknown Analyst: I assume that this -- that the second that goes through November, that's the complete one. There's no special advertising for December?
David A. Levin: No. We have -- we're running 7 weeks in October and into November.
Operator: And we'll take our next question from Mark Montagna with Avondale Partners.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Just a question on that additional week, is that additional week at the front end or at the back end of what you original planned for marketing?
David A. Levin: It's going to be the front end, so it will actually start the end of September.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. And then, merchandise margins are up really strongly, pretty impressive. And so, I'm wondering, are you seeing an increase in your inventory turn at the DXL stores? And what was the sales per square foot at DXL in second quarter of this year versus last year?
Dennis R. Hernreich: Yes. Well, the turn in DXL stores is much better than the turn in any of our other stores. So, yes, we are seeing a nice increase in the turn as you would expect in our DXL stores. The sales per square foot in the second quarter -- well, on an annual -- running on an annual basis, Mark, it's at about $170 per square foot, so it's on the uptick.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Yes because I think you ended last year at $154 or so?
Dennis R. Hernreich: Yes.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. And then, have you gotten any feedback on why e-commerce did not see a positive comp, either through, I don't know, focus groups or just some sort of analysis because I'm kind of surprised that it didn't become positive?
Dennis R. Hernreich: Yes. We had a tremendous boost in traffic into the web, 80%. They just didn't -- they weren't coming in to buy yet. And I think that we attribute it to -- and as David said, we're on the trail of a number of improving the conversion tactics on the web. Of course, when a customer goes into a DXL store, he's met visually with the tremendous assortment organized by lifestyles and met -- and then is met by an experienced, friendly wardrobe consultant to help engage in the overall experience, right. And no surprise, the ticket in the DXL stores is on the uptick, further increasing in this quarter. You don't quite have that engagement on the web. And, two, new people coming into the website, guys -- what we're learning more and more, the guys first time into the web are not really inclined to buy off the web for the first time, more comfortable first going to the store, getting familiar, trying it on, sizing it up and in the future buying from the web. So we think, Mark, in the long run, the traffic into the web will better convert. We're going to try and do things to help that conversion, but I think we just have to be patient, cycle through the drop in the catalogs. And as we said, we expect to cycle through this and see improved sales performance in 2014.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Do you think part of it could be since you're cutting back on catalogs? I'm sure there's a good amount of people who look at the catalog and order online.
Dennis R. Hernreich: Oh, certainly. Absolutely. So there's a natural drag on the web resulting from cutting back on the catalog.
David A. Levin: Yes, I think that, again, only being down, whatever, the 9.8%, considering that tremendous drop in catalog is fine. And again, the loss coming from the -- we -- again, we anticipated a higher percent of customers converting, coming into the web, but the traffic is there. And I think over the next 12 months, it will improve on the conversion.
Mark K. Montagna - Avondale Partners, LLC, Research Division: And what is the last date that the catalog mailer will go out?
Dennis R. Hernreich: Well, we've already seen that...
Mark K. Montagna - Avondale Partners, LLC, Research Division: Oh, you've already finished killing it?
Dennis R. Hernreich: Yes, we -- yes. And now, the catalog customers won't not see anything from us, they're going to get a reminder in a way of a smaller 16-, 20-page kind of brand -- we call it a brand mailer, which will remind him of our most compelling, updated fashion statements for the fall season, which we think, and having tested this, many of them take that and, as you said, Mark, go to the web with that. And so, we expect to continue to transition our hard-core catalog guy over to the web over a period of time.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. And just lastly, with the TV commercials, have you done focus groups where you can measure that, that guy who's 40- to 46-inch waist understands that that's who's being targeted by this commercial?
David A. Levin: Absolutely. In our -- in all our focus groups, we had -- we divided it into 2 groups. So between the 40- and 46-inch waist and the 48 and above. And this -- the success of the commercial is really based on that end-of-the-rack guy connecting with this commercial because he clearly -- as we said with the statistics, we're starting to get him in. He is younger. He actually -- his income is higher. He shops more often. He likes more brands. And I think that's also 1 of those indicators as why our average ticket is up over 23% over a year ago.
Operator: [Operator Instructions] We'll go next to William Florida with Advisory Research.
William Florida: Just a question about the store locations. If I think of those in 3 groups, there's the new stores that had been opened more than a year, there's the stores that are opened but don't have a year yet and there's the new stores coming. And is there any measurable difference in these stores qualitatively? Are the quality of locations different? Are the size of the stores different in any way? Could you just talk through how the store openings and the comps may evolve?
Dennis R. Hernreich: Yes. Good question, Bill, but really, there's no general -- as I think as you know, generally, the DXL stores are edging slightly smaller than they've been in previous years. But really, otherwise -- but that really doesn't take away from their performance, and that's why they've gone smaller. So really, the openings that are coming up in the second half don't have any special, unique, different characteristics than the stores that we opened in the first half or that we've opened in, say, 2012. And so, I wouldn't expect, nor should you, to see any difference in their performance relative to the stores that we've opened in the last 12 months.
Operator: [Operator Instructions] And at this time, I'm showing no further questions. I'd like to turn the call back to management for any additional or closing remarks.
David A. Levin: Okay. Well, again, thank you, all, for being on the call. As always, if you had not yet been into 1 of our DXL stores, we strongly encourage you to make that visit. And you could give us a call if you'd like to find out about a certain store. If you'd like a tour, we'll do anything to help you along on that first trip. And finally, we look forward to speaking with you on the next quarter. Thank you very much for joining us.
Operator: And again, that does conclude today's conference. We do thank you for your participation.